Operator: Hello, everyone. Thank you for standing by, and welcome to the Global Cash Access Holdings Inc. Fourth Quarter 2014 Earnings Call. During today’s presentation, all parties will be in a listen-only mode. Following the presentation the call will be opened for a question-and-answer session. This conference call is being recorded today, Tuesday, March 10, 2015. And now, I would like to turn the conference over to Mr. Todd Valli, Vice President of Corporate Finance and Investor Relations. Please go ahead, sir.
Todd Valli: Thank you, and welcome to the call. Joining me today is President and Chief Executive Officer, Ram V. Chary; and Executive Vice President and Chief Financial Officer, Randy L. Taylor. For purpose of this call unless otherwise noted our results for the 2014 fourth quarter and full-year discussed today include 13 days of our operations for Multimedia Games. Before we begin, I would like to remind you that some of the comments to be made during this call contain forward-looking statements and assumptions that are subject to risks and uncertainties including, but not limited to, those contained in our SEC filings. These events could cause actual results to differ materially from those described in our forward-looking statements and as such, we would like to caution against undue reliance on these forward-looking statements, which speak only as of today. They should not be considered an indication of future performance and we do not intend and assume no obligation to update any forward-looking statement. For additional information, please refer to our press release and our other filings with the SEC, including our Annual Report on Form 10-K for the year-ended December 31, 2014, which we expect to file on or before March 16, 2015 and our subsequent reports filed with the SEC, all of which are posted within the IR section of our corporate website. In addition, this call may refer to certain non-GAAP measures such as cash earnings per share and adjusted EBITDA. We reference these non-GAAP measures to enhance investor understanding of the underlying trends in our business and to provide better comparability between periods in different years. For a full reconciliation of these non-GAAP measures to GAAP results, please see our earnings press release and related 8-K, both of which are available within the IR section of our corporate website. Finally, this call is being webcast, which may be also accessed within the IR section of our corporate website, and a replay of the call will be archived. With that, I am pleased to introduce our President and Chief Executive Officer, Ram V. Chary.
Ram V. Chary: Thank you, Todd. Good afternoon, everyone, and thank you for joining us on today’s call. I will provide an update on our integration activities and the key initiatives we’ve undertaken, since completing the acquisition the Multimedia Games less than three months ago. Randy, will then discuss our 2014 fourth quarter and full-year financial results. Before we get started I want to make sure everyone noticed yesterday’s press release regarding the finalized multi-year cash access agreement we recently signed with one of our top customers Las Vegas Sands. The new contract expands our relationship to include our integrated kiosks across the full gaming floors at the Venetian and Palazzo resorts in Las Vegas, as well as Sands Bethlehem in Pennsylvania. We continue to gain momentum by providing comprehensive value to our premier operators like the Las Vegas Sands. Turning now to our acquisition of Multimedia Games which as you know was completed last December. As we noted from the time we announced our intension to acquire Multimedia Games, our strategic rationale for the transaction was to create value for our customers and our shareholders by combining the differentiated industry leading solutions of GCA and Multimedia Games to offer an industry unique new value proposition. By leveraging our slot gaming entertainment, payments and compliance solutions, we believe we can bring enhanced offerings to the market that maximize returns on our customers capital investments in gaming technology. While we are still early in the integration and operational Multimedia Games I am very pleased to say that everyday we see more and more evidence that our rationale for the acquisition is tremendous and that the combination of GCA with Multimedia Games has created the company that is distinctly differentiated from any other. It has been invigorating to work with the unique Austin culture of Multimedia Games. While we further our culture of innovation, it is important to note that we are well on track to achieve the targeted cost synergies that we previously identified. In terms of some of the initial integration and reorganization activities that have taken place since the completion of the deal. One of the key measures we implemented was an overall organization structure that now defines a payments business, which is comprised of our legacy payments and compliance offerings. A games business which includes gaming operations and gaming equipment sales and finally shared services which includes among others sales, marketing, finance and human resources. Looking to the year ahead, we have set out a number of key initiatives for the payments and games businesses. For our payments business, our key strategies include investing in our platform to further increase its stability and continue our solution sale offering. This will serve to further differentiate our payment solutions from the market and provide a platform for long-term growth. Another key initiative is for our payments group to combine our kiosks manufacturing with our games business in both Austin and a smaller facility in Las Vegas. We expect this combination to be completed in the third quarter of this year. By consolidating all of our manufacturing operations in both games and payments we expect to significantly enhance our manufacturing efficiencies and economics while improving our time to market. For the game side of the business we’re focusing on continuing to leverage the maiden Austin culture of Multimedia Games which has really served to set our products apart in the industry. We’re going to continue to balance the companies class two lineage with the opportunity to grow our class three for share. Before I turn the call over to Randy, I want to highlight five key features of GCA that we think investors should focus on at this time. Number one, we have a very diligent integration plan and are on track to achieve our cost synergies. Number two, we generate significant recurring revenue across multiple business segments approximately 90% of our revenue was recurring in nature in 2014. Number three, we offer highly differentiated products on the casino floor and I’ll add that the combination of GCA in Multimedia Games was the unique among all the recent combinations as our products are truly complimentary rather than duplicative. Number four, we generate strong free cash flow and are committed to deploying our free cash flow towards deleveraging as quickly as possible. And number five, the combined company have substantial growth opportunities. With these key features in mind and the initiatives previously discussed the company believes we can reach adjusted EBITDA for 2015 of between $218 million and $228 million. With that, let me turn the call over to Randy to review our fourth quarter results.
Randy L. Taylor: Thank you, Ram and good afternoon to everyone on the call and webcast. Majority of my review of the financial results were referenced the combined operations and financial reporting at GCA and Multimedia Games following the closing of the acquisition on December 19. I’ll also briefly review Multimedia Games on a standalone basis for the fourth quarter. 2014 fourth quarter revenue was $152.1 million which includes $7.4 million from Multimedia Games excluding this contribution legacy GCA revenue rose $4.2 million or 3% for the fourth quarter 2014 over the same period in the prior year. Our fourth quarter 2014 cash EPS increased to $0.04 or 21% to $0.23 on weighted average diluted shares of $66.4 million period as compared to $0.19 on weighted average diluted shares of $67.4 million for Q4 2013. Excluding the impact of Multimedia games GCA’s cash EPS was $0.23 or 26% increase over the prior year quarter. We define cash EPS as net income plus deferred income tax, amortization, non-cash compensation, asset impairment charge, accretion of contract rights, acquisition costs, purchase accounting adjustments and write-off of deferred loan fees divided by the diluted shares outstanding. Adjusted EBITDA increased $6.8 million, or 40%, to $23.9 million for the fourth quarter of 2014, as compared to $17.1 million for the same period last year. Excluding Multimedia Games GCA’s adjusted EBITDA was $19.9 million or 16% increase over the prior year quarter. We define adjusted EBITDA as earnings before interest, taxes, depreciation, amortization, non-cash compensation, asset impairment charge, accretion of contract rights, acquisition costs and purchase accounting adjustments. On a full-year basis GCA’s payments revenue was up less than 1% to $585.6 million but excluding the Caesars Entertainment business revenue was up $37.1 million or nearly 7%. For the full-year 2014 excluding any impact from the Multimedia Games acquisition cash EPS per share was $0.89 on weighted-average diluted shares of $66.9 million as compared to $0.78 on weighted-average diluted shares of $67.2 million for 2013 an increase of $0.11 or 14%. Our adjusted EBITDA again excluding any impacts of the Multimedia Games acquisition was $76 million as compared to $71.2 million for 2013 an increase of $4.8 million or 7%. Both cash EPS per share and adjusted EBITDA for GCA were inline with our full-year guidance. On a segment basis, cash advance revenues and operating income were $56.8 million and $14.6 million respectively for the 2014 fourth quarter compared to $56.8 million and $14.5 million for the same period in 2013. Excluding the loss of the Caesars contract, which represented approximately $3.7 million in revenue, cash advance revenues would have increased by approximately 7%, primarily due to new business and same-store growth in both transactions and cash-to-floor. The company was able to maintain its operating income at a level equal to the prior year period inclusive of the loss of the Caesars contract. ATM revenues and operating income were $68.3 million and $6.1 million respectively for 2014 fourth quarter compared to $66.2 million and $6 million for Q4 2013. Excluding the loss of the Caesars contract, which represented approximately $6.4 million in revenue, ATM revenues would have increased by approximately 14%, primarily due to new business and same-store growth in both transactions and cash-to-floor. The Company was able to slightly increase its operating income when compared to the prior year even after taking into consideration the loss of the Caesars contract. Check services revenue and operating income were $5 million and $2.6 million respectively for Q4 2014 compared to $4.8 million and $2.5 million for the 2013 fourth quarter. Check services revenue was up due to an increase in base amount for transaction and number of transactions. Our Game segment, which consists of gaming operations and gaming equipment and system sales for the 13-days in December 2014 for Multimedia Games reported $7.4 million in revenue and $2.2 million in operating income. Our other segment, which consists primarily at fully integrated kiosk sales, kiosk parts and services, Central Credit operations and our compliance, audit and data solutions reported revenues and operating income of $14.6 million and $7.3 million respectively for Q4 2014 compared to $12.6 million and $5.7 million for Q4 2013. Other revenues increased in the quarter, primarily due to our compliance, audit and data solutions offerings. Other operating income increased in the quarter, primarily due to our compliance, audit and data solutions as well as higher margins on our fully integrated kiosk sales. Operating expenses excluding research and development costs and depreciation and amortization expense were $33.2 million in the fourth quarter 2014. Operating expense in Q4 2014 included $8.5 million in Multimedia Games acquisition costs a $3.1 billion asset impairment charge and $2.7 million operating expenses for Multimedia Games during the 30-day period in December. Excluding these items operating expenses in the 2014 fourth quarter were comparable to the prior year. The increase in depreciation and amortization expense in the quarter as compared to the prior year period is due to the acquisition of Multimedia Games and NEWave. Other cash transaction metrics to note. Same-store cash-to-floor, our best indicator of industry trends increased approximately 5% in the 2014 fourth quarter as compared to the same period last year. ATM volume increased in Q4 2014 for the first time since the first quarter of 2012 and both debit and credit card transactions increased. Combined credit and debit cash-to-floor increased by approximately 7% for Q4 2014, while ATM cash-to-floor increased by approximately 5%. Let me turn now to a brief overview of Multimedia Games. For the three months ended December 31, 2014 total revenue was $48 million which compares to a revenue of $59.2 million in the same period in the prior year. The three months ended December 31, 2013 benefited from the sale of 499 units to a single customer in Alabama, 221 of which were previously installed at the customers facility on a revenue share basis. Gaming operations revenue increased $4.3 million or 13% over the same period in the prior year reflecting an increase in installed base at an approximate $1.37 increase in the average daily win per unit. Installed base at December 31, 2014 was 13,287 units, and the installed base reflects the temporary removal of a 123 units at a customer's facility in Oklahoma as the facility is undergoing a renovation, which we currently anticipate will continue through the third quarter of 2015. The 13,287 unit installed base compares to 12,657 units at December 31, 2013 and 13,329 units as of September 30, 2014. Included in the 2014 year end installed base our 1,541 premium participation units predominately comprised of our high-rise gains compared to 1,059 premium participation units that were installed as of December 31, 2013 and 1,399 units as of September 30, 2014. On a consolidated pro forma basis, as if the acquisition of Multimedia Games have been completed on January 1, 2014 total revenue for the year would have been $792.6 million of which approximately 90% was recurring revenue and adjusted EBITDA would have been $186.9 million, 2014 fourth quarter total revenue would have been $192.7 million and adjusted EBITDA would have been $42.7 million. As for the balance sheet, cash and cash equivalents were $89.1 million as of December 31, 2014. Please note that our daily cash balance fluctuates significantly due to our large settlement receivables and settlement liabilities and the ultimate timing of when the cash is received from the patron's issuing bank and when we reimburse our casino customer. Borrowings were $1.2 billion at the end of the quarter reflecting our borrowings to complete the acquisition of Multimedia Games in December, and the company is incompliance with its debt covenants as of December 31, 2014. As of the date of this call we have repaid $15 million in our outstanding debt and are required to paying another $2.5 million at the end of March. Capital expenditures were $18 million for the year ended December 31, 2014, which included $2.8 million from the Multimedia Games. Regarding our merger integration activity initiatives as Ram noted we have made considerable progress on this front. As of December 31, 2014 we have eliminated approximately $10.9 million on an annual run rate basis from our overall cost structure and we expect to achieve our targeted annual run rate of $24 million cost synergies by the end of the calendar year. Finally, today we provided our initial guidance for the fiscal 2015 of adjusted EBITDA of $218 million to $228 million. In addition, we expect full-year depreciation and amortization expense of $130 million to $135 million, but note that this estimate for depreciation and amortization expense could change significantly depending on the company’s final allocation of the purchased price for Multimedia Games to certain depreciable and amortizable assets as well as non-amortizable goodwill. We also expect full-year capital expenditures of $60 million to $70 million which would include capitalized software costs and contract rights. Looking forward our plan continues to focus on the deployment of cash to reduce leverage. With that, I would like to turn the call back to the operator for your questions.
Operator: Thank you, sir. [Operator Instructions] And first from Craig-Hallum, we have George Sutton.
George F. Sutton: Thank you. Congratulations on getting this deal done and finally getting to this point. So I wondered if you could talk about the shared service capabilities and how you combined these two pieces, so for example if I was a sales person previously for MGAM, how is my quarter changed and same would be asked for a GCA sales person.
Ram V. Chary: Under our new sales leader and peers what we’ve done is several things, we’ve combined our sales relationship folks organizationally in terms of management reporting structure into one organization under his leadership. From territory perspectives the legacy multimedia and legacy payments direct reports at the VP level are organized in a way to cover geographically North America in a way that’s a little bit more detail that has a smaller scope than any one of them had before in terms of the individual sales contributor for 2015. We’ve got sales folks riding side-by-side on payments and games, essentially in a team fashion and that the people who were previously selling games will continue to do, the folks who were previously our payments capabilities will continue to do so, but they are going to do so on a team fashion and by 2016 we’ll have further integrated them so that everybody is selling everything.
George F. Sutton: Okay that’s helpful. And I know you did a lot of work in the pre-close process getting the approvals for all the different jurisdictions. Can you talk about what new markets MGAM will be able to sell into that they couldn’t previously?
Ram V. Chary: Yes, I mean they fundamentally had a small fraction of the licenses as we do which are nearly 300 and all the jurisdictions we do business. One of the underlying foundations of the combinations was for us to open up new markets and new jurisdictions for slot product enter into, and much to my delay in early days we’ve already seen quite a bit of traction on that front, probably difficult advance of a natural dealer transaction to list out some of those jurisdictions but needless to say we’re really delighted and happy about our early traction that way.
George F. Sutton: Okay and lastly if I could, the deal with the Las Vegas Sands, can you just give us a sense of how comparable that is to some of your other larger contracts you have recently negotiated in terms of contract length and margins?
Ram V. Chary: Well all I would say is its comparable as you might expect given the different client relationships we have, we have to be respectful in terms of how much they wanted through deal in terms of the agreements we enter into, but I would say its comparable at a high level in that some of our existing clients on the Cash Access side that might have had parts of our full solution. We have been and we’ll continue aggressively sing them up for the full GCA portfolio suite and so that’s reflected here and I think it’s a very similar transaction.
George F. Sutton: Super, thanks guys.
Operator: [Operator Instructions] Next we have Todd Eilers from Eilers Research.
Todd Eilers: Hey guys, thanks for taking my questions. First I wanted to ask thoughts on gross gaming revenue trends in the United States, it looks like starting in December of last year things really started to pick up, I wonder if you can maybe just comment on how that translates into your traditional or core cash access business and what have you seen I guess in the last couple of months I guess for February, should we kind of expect similar trends or should we – maybe even see some GGR trends maybe tail off a little bit or just in general kind of how are you looking at that going forward?
Ram V. Chary: Well, Todd as you refer to it our payments business are specifically our cash access volumes are very correlated to gross gaming volumes and as you noted starting in the month of December and I would say for last three months we have seen pickup. So we don’t have any reason to believe that will go away we also don’t have any reason to believe that will accelerate at a phase beyond what it already has that being said I would tell you relative to our business strategy and our business model we don’t count on those kind of volume pickups as we project to go forward success for our business. So definitely a tailwind and definitely a tailwind in the last couple of months, but not we have fair amount of uncertainty as everybody does so they will continue or not.
Todd Eilers: Okay, great and then wanted to ask a question on the installed base for MGAM, that the temporary removal of a 123 games with a customer in Oklahoma as they renovate their casino just want to make sure I heard you right did you expect those to be added back in the third quarter of this year is that correct and then should it be the same number of games or could you possibly have maybe increased units with this customer due to the expansion?
Randy L. Taylor: This is Randy. It’s definitely the 123 games and we are expecting it to be in the third quarter. I really don’t have any insight to share it whether we would expansion of those games but our expectation is our games will come back on to the floor once the renovation is completed.
Todd Eilers: Okay. And then also wanted to ask a quick question on the installed base that you guys provided for MGAM end of period does that include any sort of electronic table games whether it would be the actual table or seats I am not sure how you would account for it from the PokerTek acquisition?
Ram V. Chary: Again that was a fairly small acquisition and those units are not included in the installed base.
Todd Eilers: Okay perfect. And then on the slot sales for the quarter I guess the pro forma number you gave 537. Can you give us a number or how what percent of those were TournEvent related sales?
Randy L. Taylor: Yes, it’s approximately 30% was TournEvent sales.
Todd Eilers: Okay, great. And then sorry, I have a lot of questions. I also wanted to ask I believe you gave a full quarter or is a full-year impact, you broke down the Multimedia’s revenue - I thought I heard you say that their participation business was up 13% year-over-year did I hear that correct?
Randy L. Taylor: That was only in the fourth quarter, so quarter-over-quarter fourth quarter their gaming ops were up 13%
Todd Eilers: Okay.
Randy L. Taylor: In the last fourth quarter.
Todd Eilers: Perfect, thank you. And then let’s see I guess it’s a general question about MGAM, this would be my last question. Just obviously now with almost four quarter I guess under your belt, maybe updated thoughts anything better than you expected, anything worse than you expect any sort of changes I guess over the last month just kind of curious to get your updated thoughts there?
Randy L. Taylor: I would say most of what we thought when we entered into the combination and closed it has turned out to be true. As you would expect the magnitude of some of those observations as we get into reality might be a little bit different, but I wouldn’t say we’ve had meaningful surprises, we continue to be delighted and really enjoy the differentiated development and products they bring to the market and we just hope to be able to continue the traction we’ve gotten so far bringing those products to many more markets and they were able to.
Todd Eilers: Okay, great. Thanks guys.
Randy L. Taylor: Thank you.
Operator: And next from Stifel, we have John Davis.
John Davis: Hey, good afternoon guys. Hey, Ram I think you said that Las Vegas Sands was meaningful, any ideas of top 10, top five any more details you could give there on exactly how meaningful Las Vegas Sands is to you guys?
Ram V. Chary: Yes, I think people now decided their operation and I think I can only describe it has being one of our top customers. I’m not sure I would extend the description beyond that and I said in terms of term or any of those dynamics we got to be respectful of our client.
John Davis: Okay, fair enough. Are there any other top five, top 10 accounts or contracts coming up in 2015 or 2016 that we should be aware of?
Ram V. Chary: We have - we only have one in 2015.
John Davis: Okay.
Ram V. Chary: And that will be a decision that’s made by that client in the second half of this year and that’s on the payment side.
John Davis: Okay, great. And switching over to MGAM looks like guidance compliance and nice sort of rebound in revenue growth there. What’s driving that and any comments you can make on trends quarter to date given that we’re already in March?
Ram V. Chary: Yes, the two comments I’ll make is that, as you would expect it’s understandable in these kind of transactions and frankly human nature that actually management team might take the foot of the gas a little bit so to speak and that probably was part of the phenomenon in the fourth quarter that is neither a reflection of the successful business they ran for period of years in order to does it reflect the rebound you just described. So I think that’s point in time I think the reason we are confident about our growth going forward in 2015 is this point that I have touched on a couple of times which is prior to differentiate it they haven’t been offered to the opportunity whether its sales or licensing to be in a number of different jurisdictions that we are going to afford that organization at opportunity and we will enjoy the growth associated with it.
John Davis: Okay, and then lastly any comments you guys can make on the expected or required CapEx that maybe required for the check of thoughts in the year 2015 or 2016 I think our model pretty sharp increasing CapEx and I know your 2016, your 2015 guidance is kind of inline we’ll expect, is there any reason to expect a big step up from there in 2016 when that contract comes up?
Randy L. Taylor: Yes, I mean I think John, there are number of different contracts that’s really hard for me to say exactly which ones are coming up and I don’t think you really report that, so we kind of looked at it has over a five-year period, it’s about $10 million a year, but where that is by year, it is hard to say and really kind of depends as we negotiate with them each when they comes up towards that multiple locations there.
John Davis: Okay.
Ram V. Chary: And I think Randy described it very accurately same point, communicated a little bit differently, as you can see our 2015 is in line with historical spending levels and CapEx and based on Randy’s description about how we look at that over a multiple year period of time, we don’t have any information right now that would suggest the years beyond 2015 to be materially different.
John Davis: Okay, great. Thanks guys.
Operator: And our next question is from Matt Kaplan with CIFC.
Matthew Kaplan: Hi, guys. Did you provide MGAM’s the underlying revenue and EBITDA for the quarter?
Randy L. Taylor: Yes it is. In the press release there is the standalone for the fourth quarter of Multimedia, we didn’t provide that in the press release.
Matthew Kaplan: Okay, and then the average selling price decline of the units, what kind of drove that was just a function of last year the 400 units customer property or is there kind of more price pressure in the market today?
Randy L. Taylor: I think the year-over-year dynamics were a more of a function of what you described in the form of comment their organization the large game sale in just the calendar fourth quarter of 2013 that made for a difficult comp, but that’s more that phenomenon unless that we’ve gotten compression in the market.
Matthew Kaplan: Got it. And are you based on kind of what you are seeing in Q1, any change in kind of pricing pressure for new sales relative to what its been over the last year or two?
Randy L. Taylor: No, we don’t have any evidence to that extent.
Matthew Kaplan: Okay. And then as it relates to the 2015 EBITDA guidance, how are you treating the 24 million of run rate synergies, does that include 24 million of run rate synergies of EBITDA or cost savings excuse me or what is included in those numbers?
Randy L. Taylor: The numbers are full-year guidance and so again the 24 million is on a run rate basis, so by the end of 2015 our expectation is to have a 24 million in savings going forward. So the $218 has got the savings embedded in again the estimate.
Matthew Kaplan: $218 has 24 in them.
Randy L. Taylor: I'm not going to say its 24, because again its on a run rate basis, so you know not all 24 will fully be based in at the beginning of the year, so we’re obviously working through the cost synergies as we go, but our expectation is by the end of the year we would have made cuts and changes that would allow for 24 million in savings.
Matthew Kaplan: So then could you say how much actual savings are in there flowing through the numbers?
Randy L. Taylor: The only thing we’ve given is [12.31 for 2014] we’ve achieved about $10.9 million almost $11 million in savings.
Matthew Kaplan: Got it, okay and then costs or realized savings, are those getting deduced before going to 218 or is that a nail back?
Ram V. Chary: I mean the cost that we would incur along the way would be included in the $218.
Matthew Kaplan:
] :
Randy L. Taylor: No and we cant discreetly breakout how much of the total for the 30 that we’ve identified in aggregate, we cant discreetly breakout how much of that we’re going to spend in 2015, so I don’t know that you can do that math the way you described it.
Matthew Kaplan: Okay, all right. Great, thank you very much.
Operator: [Operator Instructions] All right it looks like we have a question from Josh Eisenberger with Och-Ziff Management.
Joshua Eisenberger: Hey, just a quick question regarding the participation footprint. You said there were machines that got pulled out in the quarter for the ticket sales?
Randy L. Taylor: In beginning of October 123 units were pulled off of participation. October 1.
Joshua Eisenberger: So the decline quarter-over-quarter in the installed base if you net that out was actually an increase?
Randy L. Taylor: Correct.
Joshua Eisenberger: Can you just shed some light us to where that increase was is that in Oklahoma or in other tribal regions or was that outside of the Oklahoma tribal market?
Ram V. Chary: I don’t really have that detail with me at this point I mean we have had and I think I gave the increase - there has been an increase in our premium games, but not really broken up by a region.
Joshua Eisenberger: Okay. Thank you.
Operator: All right and next we have David Hargreaves with Sterne, Agee.
David Hargreaves: Hi. I was wondering if you could comment on what you see is your customer appetites right now for buying new machines or leasing new machines and whether it’s more a case of trying to shorten the life on the floor for example maybe catch up on machines that have been outstanding maybe a bit too longer if you are looking for new titles and please give me just an overview above? Thanks.
Ram V. Chary: Well, to go with the first part of your question, I think clearly across the board with our largest clients, but I think extends to clients of all sizes, we observed in 2015 continued reductions in our clients CapEx budgets. So they have less dollars to spend and need to be much more focused on what they spend those dollars on, at a high level that looks like a reduced opportunity for us. But I would suggest early on it’s an increased opportunity for us and that when you look across the competitive landscape we are a little bit more organized, it’s my observation anyway that we’re a little bit more organized with our sales force, our sales coverage structure of our client facing organization. I think some of the players in the competitive landscape especially because of their overlapping combinations haven’t quite gotten there yet. And so in a lot of cases we are calling on our clients, no way that nobody else does, we are offering them value and product that nobody else has and so I think that’s a good opportunity for us, but from a macro perspective I would say their appetites are less than they have been.
David Hargreaves: In terms of adding new jurisdictions and expanding the footprint of MGAM? Can you talk a little bit about the phases of process and how long it’s going to take the maximize that potential?
Ram V. Chary: It’s something that’s going to play out over the next two or three quarters I would say for the most part and we’ve had different kinds of results, a lot of jurisdictions we have gotten license very quickly in some jurisdictions is taking longer, simple logic would suggest in some of the places they were not able to be licensed either because of lack of effort or other challenges naturally those places are hard to get licensed for anybody. So even though we will be faster than anyone in the industry it’s still going to take us some time to get licensed in some of the tougher jurisdiction. So I would say by the second half of this year, we’ll be well through that process.
David Hargreaves: Through these pretty fast in terms of the TournEvent product which is really hot, I’ve heard some industry experts I don’t know enough about it to be able to see the way, but some folks just said that they thought the product was copyable, could you talk about any patents that are outstanding related to that particular product and whether you would agree or disagree with that statement?
Ram V. Chary: Well, I can definitely address that, in terms of functionality they are competitors of ours who have robust systems businesses and through those systems you can turn an entire slot floor into TournEvent mode, you can take them out of revenue and create a TournEvent. The difference is though in those instances you have to turn over your entire slot floor and make it a TournEvent. Our product capability is very unique in that, we can select individual banks to turn into TournEvent modes and know other product has that capability and we do have patent protection around that. So we give the operator a lot more flexibility and give them the opportunity to create a TournEvent in the middle of a week for example where they might have lower foot traffic, but not take their whole floor out of revenue mode. And so the competitive offerings are different offerings that aren’t nearly as attractive to the operator.
David Hargreaves: Okay, and on your contract renewals are you able to give us any kind of a color is to what the trend is with in terms of how much you are reimbursing back to the host casinos, is it increasing or you able to sort of hold the line on that, what are you seeing now?
Ram V. Chary: Assuming based on the content of your question you are asking about our payments contracts.
David Hargreaves: Yes, sir.
Ram V. Chary: They have as you see as they translate into our results we’ve been able to hold and in some cases increase our pricing that’s a function of the very unique and robust solution offering that we provide that adds tremendous value in a way that isn’t comparable in the market. So our pricing has been equal to or greater for the most part and you see that flowing into our results and you will continue to see that.
David Hargreaves: Last question. Should we still be thinking about quick ticket as something down the horizon or is that sort of off the radar at this point.
Randy L. Taylor: The functionality associated with that former product is still something that’s alive and well in our offering, but to see that as a product as I mentioned in the past, we’re not going to go to market with a distinct product know as quick ticket.
David Hargreaves: You have changed the name or you are - I'm not sure I understand your comment.
Randy L. Taylor: Well we continue to have invested in that functionality, there are a lot of our clients who have that functionality as part of the solution set that they get from us, but we are not going to discretely sell quick ticket as a product.
David Hargreaves: I see. Thank you so much for all the answers and nice work during the quarter.
Randy L. Taylor: Thank you. End of Q&A
Operator: And it does appear that concludes our question-and-answer session. I would like to turn things back to Mr. Todd Valli for any additional or closing remarks.
Todd Valli: Thank you again for joining us today. Have a great afternoon.